Operator: Ladies and gentlemen, thank you for standing by. Welcome to Barrick's First Quarter 2016 Results Conference Call. During the presentation, all participants are in a listen-only mode. Afterwards we will conduct a question-and-answer session. As a reminder, this conference call is being recorded on April 26, 2016. I'll now turn the conference over to Angela Parr, Vice President of Investor Relations. Please go ahead.
Angela Parr - Vice President-Investor Relations: Before we begin, I would like to highlight that during the presentation, we will be making forward-looking statements. This disclaimer slide includes a summary of the risks and factors that could affect Barrick's future performance and our ability to deliver on these forward-looking statements. A review of our most recent AIF will provide you with a more complete discussion of these risks and factors. This conference call is being recorded and a replay will be available on our website, barrick.com, tonight on April 26, 2016. With that, I'd like to turn it over to our President, Kelvin Dushnisky.
Kelvin Paul Michael Dushnisky - President & Director: Good afternoon to everyone on the call. Thank you for joining us. I'm here today with our Chief Financial Officer, Shaun Usmar, and our Chief Operating Officer, Richard Williams. As many of you know, this is Shaun's last day with Barrick. Shaun, we want to thank you for all your many contributions to the company, and wish you all the best in your new venture. Shaun will be succeeded as CFO by Catherine Raw, who is also here with us today. I am also joined by two of our GMs, Matt Gili from Cortez and Jim Whittaker from Lagunas Norte. Matt and Jim will review the performance of their respective operations, and will also comment on the updated technical reports we filed for Cortez and Lagunas Norte. In addition, we have a number of our other mine General Managers on the line who will be available to answers questions later. This morning at our Annual General Meeting I discussed the strategic goals that define our efforts to create long-term value as measured by free cash flow per share. Our first goal is building partnerships of depth and trust with both external and internal stakeholders. You've heard us say that transparency is the currency of respect. We think that's an important starting point, and it's our goal to be as transparent as possible. The second is to produce industry-leading margins. Through a continuous cycle of improvement and innovation, we will expand our margins, which in turn will support our ultimate objective of growing free cash flow per share. The final goal is superior portfolio management. We will measure our production by quality, not quantity. We will apply rigorous capital allocation criteria and discipline to ensure that every dollar we invest generates the return we expect for our shareholders. We will continuously look for opportunities to upgrade the quality of our portfolio by discovering new reserves and resources through world-class exploration programs, developing our robust project pipeline, and by carefully assessing opportunities in the market. As we did last year, we have established four priorities for 2016, and just like we did last year we intend to stay sharply focused on them. Our first priority is to continue our emphasis on capital discipline. Requests for capital are rigorously evaluated through commercial, technical and peer reviews even before they advance to the investment committee, where they undergo another round of detailed evaluation and analysis. As we progress through the year we will continue to subject our spending plans to rigorous review as we work to identify additional savings opportunities. The second priority is growing free cash flow per share. This year, our goal is to generate free cash flow at a gold price of $1,000 per ounce, and we are well on track to getting there. Our third priority is to continue to focus on improving our balance sheet. We intend to reduce total debt by another $2 billion in 2016, using the same three levers as we did last year: drawing on our existing cash balances, delivering free cash flow from operations, and selling non-core assets and potentially creating new joint ventures and partnerships. Our fourth priority is all about operational excellence. Our mines are among the lowest cost in the industry, but we know they can do even better. We set a goal to drive our all-in sustaining costs below $700 an ounce by 2019 through Best-in-Class, our productivity improvement initiative. We made solid progress on each of these priorities during the first quarter. We've been prudent in our capital allocation decisions, resulting in lower capital spending in Q1, with additional capital savings identified for the rest of the year. We generated $181 million in cash this quarter, our fourth consecutive quarter of free cash flow, and we had adjusted net earnings of $127 million. We further strengthened our balance sheet with $842 million in debt repayment this quarter, and we remain on track to achieve our $2 billion target in total debt reduction for the year. And, finally, we're very pleased with the early results we're seeing as we implement best-in-class across the company. The cost of portfolio continued to trend down, and we've reduced our guidance ranges for the year on an improved cost outlook. Our financial and operating performance in this first quarter has been strong, as Sean and Richard will discuss now in more detail. Disciplined allocation of capital is central to our success and fundamental to our future growth plan. During the quarter, we established a Growth Group capitalizing on the experience and strength of our exploration, corporate development and finance leaders, with a mandate to develop an integrated growth strategy. We are evaluating how to maximize the growth potential of our existing operations and projects, and how best to sequence that growth, and we're looking at long-term organic greenfield exploration in addition to external opportunities. On the exploration front, we're building a comprehensive mineral database updated with real-time data. When complete, this will enable us to evaluate and prioritize all emerging opportunities and act on them to capture early value. We analyze and schedule our projects according to priority, the likelihood of success and our ability to finance them, allowing us to determine a development or exit strategy for each. Of course, we also look at – externally at projects, and opportunities to provide seed financing or to create partnerships. In fact, building partnerships is core to our business, and we intend to do so early on with projects of interest. At this point, let me hand it over to Shaun Usmar for a review of our financial performance.
Shaun Usmar - Chief Financial Officer & Senior Executive VP: Thank you, Kelvin. We started our journey last year on prioritizing cash flow over production, reducing capital intensity through disciplined capital allocation, shrinking overheads, reducing working capital, and focused on generating minimum cash margins per ounce through better planning. We're delivering against these financial objectives, generating our fourth straight quarter of positive free cash flow and around $380 million higher free cash in Q1 2016 versus the same period last year. Despite recent robustness in gold prices, we continue to drive financial discipline across this business and focus on targeting being free-cash-flow breakeven below $1,000 an ounce this year, by delivering on our mine plans and minimum cash margins per ounce, improving productivity, and further reducing our capital intensity. As you can see, we are making good progress. We needed over $1,300 an ounce gold price at the start of 2015 to be cash-flow breakeven before we embarked on our transformation journey. That includes dividends and excludes the cash flow we can't access from Acacia and the cash we don't own at PBGC. 2016 was in fact the worst in our five year outlook at the time, requiring gold price of around $1,700 an ounce to generate positive free cash. This was a combination at the time of inadequate capital allocation and a mindset of spending our way to growing ounces and net asset value, rather than truly maximizing cash flow per share and being disciplined about generating a return on the capital we spent. The result of our transformation efforts was embedded in our three-year guidance at the start of the year, and it's been improved upon this quarter. Notably, we've achieved a free-cash-flow breakeven of just over $1,000 an ounce during Q1 2016, and are on track to achieving our objective of being free-cash-flow breakeven at $1,000 an ounce for the year. Comparing Q1 2016 against the same period last year points to the extent of the improvements in approach and results, with all-in sustaining cost improved from $927 an ounce to $706 an ounce; cash costs reduced from $642 an ounce down to $553 an ounce; and free cash flow now positive at $181 million. And that is despite low volumes and gold prices in the same period last year. Our ongoing improvements are reflected in our revisions to our guidance on cash cost and all-in sustaining cost, which have been reduced to $540 to $580 an ounce and $760 to $810 an ounce, respectively. Capital guidance has also been improved by around $100 million. Roughly half of the capital improvement is due to deferrals, with the rest representing reductions in execution capital. The primary drivers behind the improvements in guidance so far include lower oil and energy prices as well as favorable foreign exchange movements. As the Best-in-Class programs at the sites gain momentum, we anticipate the associated improvements in productivity, costs and efficiency to result in further improvements to our outlook through the year. Catherine Raw has had an excellent handover during the past six weeks and she'll be building on the financial transformation that Barrick has undergone this past 15 months and taking it to the next level with a rejuvenated and motivated team of finance professionals supporting her. You can be assured of ongoing financial discipline, and her background makes her ideally suited to help Barrick on this next stage of its journey, targeting value-accretive growth and effective capital allocation. The improvements of our balance sheet remains one of the top near-term financial priorities for the company. As we continue to boost cash margins and improve productivity and exercise financial discipline on capital allocation, we will continue the debt retirement trend towards achieving our midterm goal of $5 billion. We are as committed to achieving our debt reduction target this year as we were in 2015, and have already achieved 42% of the 2016 target, primarily from the proceeds of the Nevadan asset sales. Since we embarked on the debt reduction journey in early 2015, we've repaid nearly $4 billion in debt through a combination of net proceeds from asset sales and the PV stream, operating cash flows, and cash on hand. Annualized interest payments have been reduced by around $180 million as a result of debt repayments since the end of 2014. The liquidity of the company is its lifeblood and essential to its financial stability over the long term. In 2015, we elected to prioritize improvement of our near-term liquidity with our liability management efforts to allow the company to weather any foreseeable gold price environment, and continue this approach into this year with our debt reduction efforts. The team now has more flexibility looking into the future to reduce lower-cost long-dated debt, refinance short-term debt, or to continue to reduce our nearer-term tally. We now have less than $200 million due before the end of 2018, and manageable maturities over the next five years. And we will continue to look for opportunities to reduce our debt even further. We have been successful in retaining a low coupon rate despite extending the average tenor of our public debt by more than two years. The continued strengthening of our finances relies on our ability to run our operations as efficiently as possible. So, for more on that, I will hand over to Richard Williams.
Richard J. Williams - Chief Operating Officer: Okay, thanks, Shaun. When I last delivered on Best-in-Class, we were in the midst of a rollout. It's now live and it's delivering real effect. Importantly, it is now embedded as part of our operating system. And although it's centrally managed, it's a key part of our decentralized operating model. Operational leaders and their teams at the mine sites are now properly incentivized to deliver real improvement towards Best-in-Class performance, from ideas that they generate themselves or from ideas that are shared between sites. In contrast to before, greater than 90% of our conversation is now related to business improvement in a deep sense, from talent, how to change it, to systems, how to improve it, to mine systems to machinery and more. In the past, it was more about simply delivery against plan. And now, as a result of this cultural change, we're seeing much more focus on executing – execution and planning improvements in a dynamic and exciting way. Critical to all of this is transparency on opportunities, progress and risk, achieved through improved data gathering and analysis as well as through a cultural shift, the latter being the most important. We now operate as one team seeking continuous improvement, as opposed to a bunch of miners on a mine site trying to game the corporate center in ways that secure individual performance scores that don't secure optimal portfolio performance. Mine leaders also cooperate across the portfolio with each other, sharing in ideas and resources, and sacrificing occasionally individual scores for the greater good when necessary. From the center, we evaluate performance monthly and compare it to best-in-class benchmarks and behaviors, and as a result, both behaviors and actions are changed accordingly and immediately. "Improve or leave" is the mantra; improve and get rewarded is the counterpoint. This is not some centrally generated task list produced by technical services as in the old model, ageing examiners marking the essays of students if you like. Rather, it's a system designed to harness the initiative and insight of those who had the most creative and closest to the source of the problem and the opportunity. The brightest teams that we can put together on the ground, full time. And to that end, accountability rest 100% with those operations, and they're stepping up to the plate, as is always the case. And that has become our custom through the BPR. We meet regularly to jointly evaluate our progress, once a month through our optimization studies, and GMs and EDs across the sites work together to achieve all of this in the way I've just described. Well, we made a good start in the first quarter of this year, and I will highlight some of the general areas as reference before we hand over to some of the general managers. Working with our supply chain team based out of Henderson, we've consolidated our sourcing procedures in Nevada. Combined with a dramatic reduction in the total number of suppliers, this has not only simplified our internal processes but improved the pricing we receive. We have been overpaying for years for stuff, and this is changing and changing fast. And with a move to more proactive maintenance procedures, we're able to lengthen our lead time for spares ordering, again improving prices, but more importantly reducing inventory. It's amazing how far behind industry best practice we as a company had become, but we're moving fast to catch up lost ground, learning from others. At our Investor Day, Michelle Ash gave you a very simple example of how we are increasing wrench time in the maintenance team. Such small steps done everywhere add up to a lot of dollars. And these types of labor efficiency initiatives are being rolled out across all departments and all our workforce are engaged in achieving them, now that we've tied them to compensation for these more demanding targets. And in addition, we have taken an intense cross-portfolio look at both operator and leadership excellence – the former, the operator, getting the most from every act, increasing labor intensity; and the latter, ensuring that supervisors and bosses spend a minimum of 50% of their time actually leading their teams in ways that are enhanced by training, rather than feeding the bureaucracy from behind their computers. And at the same time, the continual scrub of our capital plan is improving our capital intensity with its corresponding effect on all-in sustaining costs. I am very pleased now with how the team has stepped up to the challenge: one team, good people, given the right opportunity and incentives, can do great things. And for some color, I will hand over to Matt Gili from the Cortez mine where Best-in-Class was first rolled out this year, to provide you with further insights.
Matthew D. Gili - General Manager- Cortez: Thanks, Richard. Cortez had a strong first quarter start to 2016. While heavy snowfall impacted open-pit operations, this was offset by contributions from the underground. You will recall underground productivity enhancement was a big focus in 2015, and we are continuing to see improvement here. Based on our strong first quarter performance and improved cost outlook, we are revising 2016 AISC guidance down by around $60, to $580 to $640 per ounce. With production expected to remain at around 950,000 ounces, the bulk of the savings is in reduced total operating expenses, which should also reflect in lower cash costs. Despite the identification of potential reductions in capital expenditure, we still expect to incur higher sustaining capital this year than last, the bulk of which relates to water management projects and open-bid mobile fleet maintenance. As Richard said, Cortez has the distinction of being the first in line for Best-in-Class. Each of our three divisions adopted a different strategy on how to deliver on this. The open pit is focused on decreasing gross spend while maintaining their current production profile. All of our efforts are concentrated on the ore-producing ventures, with increased stripping not necessary until later in the year. The emphasis this year is on producing ore with reduced gross spend. The underground is focused on increasing volumes while maintaining current gross spend levels. Very different approach. It is all about maximizing efficiency by increasing the number of ore heads. Now, the strategy for the processing division is positioned between these two. A strong focus on increasing operational efficiencies and lowering cost, while simultaneously ramping up volumes. We are increasing the tonnes per hour through the SAG mill to increase tonnage processed through the plant, with the incremental tonnage coming from existing stockpiles. This has the added benefit of reducing working capital. Lastly, I would like to give an update on the Deep South pre-feasibility study results. The study supports the conversion of 1.7 million ounces at an average grade of 10 grams per tonne at Deep South, a significant development that has the potential to extend mining at Cortez underground into 2028. Now, the CapEx estimates included in report were based on the life-of-mine plan in place to support our year-end reserve statement. Subsequently, we have made improvements to the mine plan that resulted in deferral of certain CapEx. It is this optimized plan that is reflected in the guidance provided by the company in February for years 2016 through 2018. The technical report also details the change in mining methods, with longhole stoping now planned for Deep South. We expect this will reduce our underground mining cost per tonne for Deep South by about 20% when compared to the cut and fill method currently utilized in the Cortez Hills underground. Lastly, I can confirm that the permitting has commenced and is tracking to our expectation. I will hand over to Mr. Jim Whittaker now to take you through Lagunas.
James Whittaker - General Manager-Lagunas Norte: Great. Thanks, Matt. Over the quarter, we systematically improved our gold recovery through improvements in the final recovery circuit of our processing plant. We also successfully renegotiated a number of major contracts that were entered into at a higher point in the gold cycle. The combination of these efforts allowed us to achieve a solid quarter of low-cost production, and we are tracking well to guidance. Over the remainder of the year we will be focused on equipment productivity and improved maintenance practices. As you know, we completed a feasibility study on a plan to extend the life of Lagunas Norte by about nine years by mining the deeper refractory ore that is sulphidic in nature, and we are releasing the technical reports supporting this study about a month back. The report provides a helpful timeline on our development plans, and from that you can see that the bulk of this spend will be from 2018 to 2020. Two things you should be aware of on CapEx: firstly, we are taking a staged approach to this project, with the aim of differing capital spend where possible to reduce risk. That's also evident in our two-stage feasibility study. Secondly, the closure costs are not actually included in the CapEx, but are accrued for in the costs. However, what is pleasing to note about this sulfide project is that it is not only deferring closure costs but is expected to reduce them. We still expect firm – first gold production into late 2021, with solid levels of production out to 2027 and tapering off thereafter. Since the start of the year, we've been doing some RC drilling on the sulfides as we hope to see some upside in the current grade distribution. Obviously, we will continue to report on this as we go through the process. I will now hand back to Richard to take you through our other operations.
Richard J. Williams - Chief Operating Officer: Okay. Thank you, Jim. On to Goldstrike. As many of you know, Bill MacNevin joined Goldstrike earlier this year from Lumwana to refocus the operation on productivity and cost cutting. Year-to-date, I am pleased to say that Goldstrike is on track and focusing on structured improvement through the Best-in-Class process. That said, the miners had some issues in the first quarter on plant availability, which combined with the lower-grade area they're currently sequencing impacted unit costs. Capital improvements of around about $40 million in the quarter were made on developing Arturo and our underground operations, pretty much in line with what we guided at the year end. TCM performance continues to improve. The buildup there has been important. Our understanding of the chemical processes in this recovery technology are now very solid, but there remains room for improvement on the physical processes. With some equipment upgrades planned, we still expect to achieve design throughput of 11,000 tonnes per day and a recovery of around 70% by the third quarter. On to PV. With the oxygen plants – power issues behind us, PV has had a very solid quarter. Costs are tracking down as the energy, fuel, and most importantly contractor costs are reducing, and PV is reducing the use of their contractors in an effort to increase their labor intensity. As I said earlier, it's an important part of the Best-in-Class. Silver recoveries were about 50% in the quarter. And these lower levels are a function of limited availability and ancillary processes in the plants, specifically the circuits that control the slurry temperature. That said, when the plant is running at designed capacity, the recoveries are over 80%, and we continue to target these higher recoveries in the second half. All right, turning now to Argentina. Veladero has had a solid quarter, with most of the underlying operating trends improving. With the buildup of inventory on the leach pad, production was impacted, but this is expected to be released as the year progresses, resulting in higher production from the second quarter onwards. Progress on key 2016 cost initiatives and productivity initiatives continues, and this includes reducing the costing issues of contractors, again, and we increased the amount of maintenance we manage in-house. The Veladero team has been aggressively focusing on updating the mine plan to optimize short-term benefits, while maximizing the full potential of the asset. And this includes stretching the technical limits for crushing and conveying, along with selective high-wall steepening. As discussed at our Investor Day, increasing the high-wall steepening has the potential to dramatically reduce stripping and improve cash flows from this mine. As the Argentine economy and business confidence improves, operating expenses are expected to be favorably impacted. This benefit will be supplemented by the government's decision to lift import restrictions and an elimination of the export duty, both of which were announced in late 2015. Result of this is, we reduced our all-in sustaining cost guidance for the year by around about $30 an ounce. On to the third of our Nevada mines, Turquoise Ridge, which continues to challenge itself to increase volumes. Daily tonnes mined were sustained at 1,850, which you will recall was increased the technical limit that we identified as we went through the expansion study. However, the high-grade orebody at Turquoise is hosted in challenging ground conditions, and ground support is critical to safe mining. And we've made it our priority over the years to improve Turquoise Ridge's safety record, and have been successful in this regard. Having achieved that important milestone, we are now in the process of evaluating how to reduce ground support expenditure in ways that don't compromise this essential safety record. Now moving across to copper. Returns from the copper area are improving. We've had a strong performance on cost reduction at Lumwana, combined with improvements in performance on mill productivity, and this is from our brand new mine manager, Sam Ash, that you saw at the Investor Day. He's doing very well. As you know, Lumwana production is impacted by seasonal rains which are now largely behind us, and as a result mine productivity is expected to improve. In Q2, we expect our Saudi operation, Jabal Sayid, to reach commercial production, and we'll give you more granularity on that operation when we next report. On the back of downward cost trends and revised royalties at Lumwana, we've reduced our cost guidance for copper while keeping production constant. Our forecasting process is appropriately conservative and I think this is evident in the lower gold price assumptions we use. However, we have progressed in the year. We are pleased with the positive trends we are seeing in cost, and have elected to revise our guidance down – downwards accordingly, both in gold and copper. As we continue to embed Best-in-Class across the portfolio, we expect to realize additional savings opportunities over the course of the year, and will update our guidance accordingly. Momentum has really only just started to build. Now on to Alturas. One of Barrick's undisputed strengths is its exploration expertise. Alturas, in the El Indio district of Chile, is our most recent discovery. Our exploration team was so convinced of the rare quality of this project that they completed a pre-scoping study, which indicated all the key fundamentals were realizable even at this early stage. Technically, Altera has some remarkably similar traits to two of our core mines, Veladero and Lagunas Norte, both of which would – could be both described as giant deposits. Since completing the study, we've undertaken aggressive exploration drilling program focused on three priorities. The first was to establish sufficient resources with favorable economics for a starter pit, the second was to confirm continuity of mineralization with infield drilling, and the third is to delineate the full potential of this district. We know, or at least Rob tells me, from the other systems that these types of deposits can tend to cluster. And we're now at the final stages of our field season, and have completed over 70 drill holes in Chile and have drilled eight holes on additional targets in Argentina. And the results are meeting, and in some instances exceeding, our expectations. It is easier to demonstrate these results in a section on the next slide. This is a section through the central part of deposits, highlighting some recent significant results which have not been incorporated into the resource calculation. On the left, which is the west, there's a shallow and high-grade intercept of 83 meters at 2.63 grams a tonne, which is double the resource grade, and starts from around 30 meters, which could not only reduce the strip ratio but also define the location of the starter pit. In the center of the deposit, we're confirming strong and continuous mineralization. And to the east, two holes highlight the potential either for a new system or areas of very high grade within the Arturo's deposit. So from this, you can see we are establishing optionality within this – by this drilling in Alturas. But our goal for this project is aligned with our philosophy to stage developmental projects, and it's still very early in this deposits life. The next step for Alturas is to complete the scoping study towards the end of this year, and assuming positive fundamentals, progress this through to prefeasibility next year. And with that, I'll hand back to Kelvin now to wrap up.
Kelvin Paul Michael Dushnisky - President & Director: Thank you, Richard. Our year is off to a good start. We are delivering on our priorities, and that's reflected in the strong operating results and cost management. With a strengthening balance sheet, we are not only more resilient but better placed to progress the growth opportunities we have in front of us today. At our AGM this morning, the company welcomed two new directors to our board. One of them is Graham Clow, Chairman of Roscoe Postle Associates. Graham has more than 40 years of experience in all aspects of the mining industry, from building, operating and closing mines, so we know he's going to be a major asset and contributor. The other is Gary Doer, Canada's former Ambassador to the United States. Given the significant role of our U.S. operations, having a board member with deep knowledge of the U.S. political and regulatory system is a great advantage. We look forward to working together with both of them. That concludes our presentation, and we now welcome any questions you might have.
Operator: Your first question comes from the line of Andrew Quail with Goldman Sachs. Your line is now open.
Andrew Quail - Goldman Sachs & Co.: Good afternoon, Kelvin, Shaun, Richard and team. Congratulations on another strong quarter. I've got a couple of questions here. The first one is about production and the weighting of maybe each quarter, or you can do it on a half basis. But if you times it by four what you guys produced, you're sort of at the low end of your guidance – within your guidance, but low end. Can you give us some more color on which quarters you expect to be stronger going forward?
Kelvin Paul Michael Dushnisky - President & Director: Sure, Andrew. Why don't I pass it over to Richard?
Richard J. Williams - Chief Operating Officer: Yeah. Hi, Andrew. Look, it's basically going to be the same through each quarter. We've obviously not quite hit everything this quarter that we wanted to, because there's been a couple of small instances of weather. And it will track up through the year to catch up on that, and other little specifics. But you should sort of look at it basically being the same each quarter, and as catching up on that which we didn't deliver in this particular one.
Andrew Quail - Goldman Sachs & Co.: Okay. Second question is on Cortez, so I'm glad Matt's on the call. Matt it looks like, from the 43101, you guys are going to have a big 2017 and 2018 on better grade. Looking at Cortez South, and you talked about the study that's been completed, is there any way that that can be accelerated to sort of see that drop off in sort of the 2019, 2020, 2021 numbers?
Matthew D. Gili - General Manager- Cortez: Yeah. Thanks, Andrew. Certainly, our intentions are to speed up that permitting and construction phase as much as possible. We are allocating ourselves the normal amount of time to secure an EIS, and that's four to five years, and then two more years for dewatering, and then some further two years for development. A very strong point for us, and we are doing everything we can to wrap that up as fast as possible.
Andrew Quail - Goldman Sachs & Co.: And last one. Shaun, thanks for everything over the last couple of years, mate, but I've got one for you. I just went back and did some analysis on the financing cost, just interest cost on a cash basis, and just looking at, say, from 2014 when you guys had about $13 billion of debt, you paid about $201 million in cash in the first quarter, interest. Now you've only got about $9 billion but you paid $215 million in this quarter. Can you reconcile that for us? Is that something that will drop off next quarter, or is there any guidance you can give, and maybe throwing Catherine into the deep end here, but going forward is there any sort of guidance you can give on sort of what – how much interest you guys going to be paying in 2016, and maybe going forward?
Shaun Usmar - Chief Financial Officer & Senior Executive VP: Andy, thanks for the words. And the way you need to think about it with the $4 billion reduction since last year is when you think about the sort of interest expense you have at that point, the annualized rate of cash interest expense right now would be – or cash interest would be about $180 million reduction. So in some of those numbers, as you start thinking about the quarterly reconciliation, there's also some interest expense linked to accretion in there for streams, and so you just need to strip that out. I think from recollection $25 million or so.
Andrew Quail - Goldman Sachs & Co.: Okay. Got it. Thanks very much, guys. Thanks again, Shaun.
Shaun Usmar - Chief Financial Officer & Senior Executive VP: Thanks, Andrew.
Operator: Your next question comes from the line of Greg Barnes with TD Securities. Your line is now open.
Greg Barnes - TD Securities, Inc.: Thank you. Just want to delve a little bit into what is going on at Goldstrike. Is it a problem with the pyrosulfites or is it another part of the operation that's having challenges?
Kelvin Paul Michael Dushnisky - President & Director: So, Greg, listen, Bill MacNevin the new GM from Goldstrike, is in the room, and I'm going to turn that over to Bill, please.
Bill MacNevin - General Manager, Goldstrike: Thanks. Thanks for the question. I've only been at Goldstrike for a couple of months, but I am very excited at what I've been seeing, from both the progress and the talent we've got on the ground. The team have put together a solid program of what we are doing to make sure we can improve the recoveries there, but fundamentally there is nothing standing in our way at lifting these recoveries. What we are doing is two major things. We've got some equipment to upgrade and replace. And at the same time, we are putting some improved operations and process controls in place. So essentially, we're ramping through that at the present; you'll see the results coming through with that in this quarter and the quarter after.
Greg Barnes - TD Securities, Inc.: This is in the pyrosulfite circuit, that the...
Bill MacNevin - General Manager, Goldstrike: Yes. It's in the mine area where we're focusing things. It's actually twofold. Some of the work's on the throughput on the grinding circuit, and that's pretty fundamental, but in the pyrosulfite circuit, fundamentally it's with the screens, the physical work, and just some control issues around the circuit. Recovery issues with – are coming from the pyrosulfite power LR (37:45) circuit.
Greg Barnes - TD Securities, Inc.: Okay. Okay. That'll do for now. Just another question for Shaun and/or Catherine on the cash balance you're carrying. You've been carrying well over $2 billion for a long time now. It doesn't seem like you need to be carrying that much cash now; you're well past any problems with liquidity on the balance sheet. Is that something you're going to look at bringing down and accelerating the debt pay-down, potentially?
Shaun Usmar - Chief Financial Officer & Senior Executive VP: Greg, ultimately Catherine's going to revisit I guess the assumptions in the last year or so, but we've come through a period of quite a substantial amount of volatility, obviously. We actually did a cash balance, or minimum-cash-on-hand review just a month or so ago with the treasury team and I think we mentioned on the last call, in fact, for us on a fully consolidated basis, we concluded about $1.5 billion to $2 billion is a number we're comfortable with at this point. But clearly depending on the price involvement and also the variability in gold price and in the underlying asset base, we'll be able to revisit that, I am sure, later on. I think the last point to consider on this is, we have erred on the side of allowing some flexibility. Of course we've retired, as you've heard, about $842 million by the end of this last quarter. From a debt standpoint, we're focused on that $2 billion, and of course cash on hand remains a very viable area for us as the year progress.
Catherine P. Raw - Executive Vice President-Business Performance: I would just reiterate that comment, and essentially, it's around the volatility of the gold price, managing that with liquidity, but as the Best-in-Class improvements come through, as we look at our planning and our forecasting, we'll become more constant in our understanding, and we'll review that minimum cash balance at the time.
Greg Barnes - TD Securities, Inc.: Thanks.
Kelvin Paul Michael Dushnisky - President & Director: Thanks Greg. Any more questions?
Greg Barnes - TD Securities, Inc.: No, that's good. Thank you very much.
Kelvin Paul Michael Dushnisky - President & Director: Great. Thank you.
Operator: Your next question comes from the line of David Haughton with CIBC. Your line is now open.
David Haughton - CIBC World Markets, Inc.: Yes. Hi, Kelvin, Shaun, Richard and team. Thank you for the update. Richard, you'd said that we'd expect to see little bit more granularity on Jabal Sayid in the next quarter, but we haven't seen much of it for a while now. Can you just give us some fairly high level numbers as to what you're expecting as far as the operating costs go? And given that you would have been mining there already ahead of your commercial production in this current quarter, I am wondering what you're seeing from a mining point of view? Is the grade stacking up to as you would have expected? Do you get the kind of recoveries that you wanted, et cetera?
Richard J. Williams - Chief Operating Officer: Yeah. Thank you. Thank you very much for that. We are at the stage right now where we're sort of commissioning the plant. And when that's all done and all the various testing has been achieved, we'll then be able to declare commercial production. But to give you a – as I said, I'm more comfortable giving the detail when that's been done. However, we do have with us on at the moment one of the team, Brian Gerbank (40:49), who's been working with the global group on Jabal Sayid who happens to be here. He can perhaps give you a little bit of granularity on how the mining is going and how the cost management and indeed how the partner is, of Ma'aden, who we are finding to be very helpful in terms of the development and how we are understanding things. Brian (41:07), over to you.
David Haughton - CIBC World Markets, Inc.: Thank you, Richard.
Unknown Speaker: Yeah. Thanks, Richard. Look, the Jabal Sayid operation has actually done very well. The team has been developing very well there. We've got a great relationship with our partner, Ma'aden, in the area. We're working through towards commercial production, as we've said. The mining is going very well. The plant is operating very well. It's meeting the expectations. We're hitting our targets on delivery of product for sales. We are working closely with the underground contractor, producing and fitting the targets that we've set ourselves. Now as we go into commercial production, those targets would be more transparent, more itemized, and we will comment on those as we go forward.
David Haughton - CIBC World Markets, Inc.: And in very rough figures, I mean, we haven't seen what the cost should be like for a while. Should we be looking at something in the $1.50 per pound kind of region for your cash costs? Is that something that we should be thinking about, or higher, lower?
Unknown Speaker: That's reasonable at this point for our cash cost number, but again, I think as we go forward into Q2 and into Q3, those numbers will become part of a regular conversation here on these calls.
David Haughton - CIBC World Markets, Inc.: All right. Just switching now, Goldrush, quite a bit of work underway, I guess, now on a few different fronts. You've got your feasibility study and your permits. I was wondering if you could give us an update as to when we could expect something to come out of either the fees, when you are expecting it to come, and where are you standing on those permits?
Kelvin Paul Michael Dushnisky - President & Director: David, I am going to put that back over to Matthew.
David Haughton - CIBC World Markets, Inc.: Thank you.
Matthew D. Gili - General Manager- Cortez: Yes, thanks, David. Okay, so regarding Goldrush, things are progressing very well there. The first matter, of course, for that is to permit a portal so that we can go underground and complete the resource drilling and complete the reserve delineation from that. So that's the first matter of course of action that we have. That is being -- the permitting there is being handled by the executive director for North America, Andy Cole. You'll remember Andy Cole from the Goldstrike days, and very pleased with his input and his ability to secure those permits. So then as we start to roll through that, as we get the drilling done, that's going to roll into the feasibility study. It's really to complete the feasibility study is really going to be dependent on completing that drilling. So we're going to keep you updated as we progress. We hope to start the portals in the very beginning of next year, and we'll keep you updated as we progress, David.
David Haughton - CIBC World Markets, Inc.: Okay. And what about the fees, when would we expect to see something like that come out?
Matthew D. Gili - General Manager- Cortez: Well, that's going to take a good year or two to get the drilling results in, once we get the portals in the location and then roll that into a fee. So the feasibility study is a good two or three years out.
David Haughton - CIBC World Markets, Inc.: All right. Thank you very much.
Operator: Your next question comes from the line of Anita Soni with Credit Suisse. Your line is now open.
Anita Soni - Credit Suisse Securities (Canada), Inc: Good evening, everyone. I think most of my questions have been answered. But I have two; the first one is in regards to the Veladero. How should we think about the leach kinetics now that the first quarter is behind you? You had a pretty good recovery rate on relatively low grade, but at the same time, I think you said it was the first layer that was stacked onto the pad there?
Kelvin Paul Michael Dushnisky - President & Director: Anita, listen, you're in luck, we have Rick Baker with us, GM from Veladero, and he'll be happy to answer the question. Rick?
Rick Baker - Executive General Manager-Veladero: Thanks, Kelvin and Anita. During the first quarter, we built a bit of inventory on the leach pad, and we expect that that's going to then come out into production in the second quarter.
Anita Soni - Credit Suisse Securities (Canada), Inc: Okay. And then the grade there is relatively low, I mean, compared to what I think prior quarter end and my expectations for the year. Is that going to improve over the course of the year?
Rick Baker - Executive General Manager-Veladero: The grade is slightly below the average grade of the deposit for the first quarter. So we expect that the grade will pick up during the year. The fourth quarter of 2015 was a very good grade quarter for us.
Anita Soni - Credit Suisse Securities (Canada), Inc: Okay. All right. And then moving onto Lagunas Norte, I think the tech report had about 410,000 ounces to 450,000 ounces for production in 2016, and I think the guidance is about – sorry – the opposite way, 500,000 ounces in the tech report versus the 410,000 ounces to 450,000 ounces in your guidance. Have you pushed out some of the tech report production into 2017 to 2018?
James Whittaker - General Manager-Lagunas Norte: Hi, Anita. That's – Jim Whittaker here. That's a very good question, and it's good that we correct that. The guidance range is correct. And so the technical report is referring to the mine with probable ounces, does not factor in the time laid for each recovery. So when you're looking at the 503 number, that's actually – would be the mine production coming out this year, but it's not the heat leach production.
Anita Soni - Credit Suisse Securities (Canada), Inc: Okay.
James Whittaker - General Manager-Lagunas Norte: Because that's depending on a leach curve and rate kinetics. So our guidance, we're well positioned in the guidance from 410,000 ounces to 450,000 ounces.
Anita Soni - Credit Suisse Securities (Canada), Inc: All right. So that's basically just sort of like contained ounces? All right. Okay. So how long is the leach cycle there?
James Whittaker - General Manager-Lagunas Norte: Leach cycle is about 45 days.
Anita Soni - Credit Suisse Securities (Canada), Inc: Okay. All right. Thank you very much.
Matthew D. Gili - General Manager- Cortez: Thanks Anita. I just want to go back quickly to David, your question regarding Goldrush and the feasibility study. I took a quick check, and Q1 2018 is the target for that.
Operator: Your next question comes from the line of Kerry Smith with Haywood Securities. Your line is now open.
Kerry Thomas Smith - Haywood Securities, Inc.: Thanks, operator. I have just a couple of questions. One, Richard, on – you talk about this three-phase plan for Turquoise Ridge versus the original plan which was just to clip the whole shaft down. And the original plan was $300 million to $325 million of capital. I'm just wondering with this phased approach, does that actually increase the capital, or does it – does the capital roughly stay the same but it just, it's a slower ramp-up and it's a bit less risky? Is that how I should look at it?
Kelvin Paul Michael Dushnisky - President & Director: Kerry, its – Nigel Bain is here from Turquoise, he is going to respond to you. We are trying, as much as possible – you're getting a theme here. We're going to hand it to the GM to the extent possible, to address the questions directly. They're the – they're there on the ground.
Kerry Thomas Smith - Haywood Securities, Inc.: Great. Thank you.
Nigel Bain - General Manager-Turquoise Ridge: Thanks, Kelvin. Kerry, to answer your question, yes, depending on the timing, we could increase the capital cost. We see if we get a good flow of approvals that we can bring those two phases together and do it, optimize those capital costs. Does that answer...?
Kerry Thomas Smith - Haywood Securities, Inc.: Kind of. So if the CapEx does go up with this Phase 3 approach, would it be 10% or less, or 10% or more? I'm just trying to get a sense for the magnitude of what it might cost.
Nigel Bain - General Manager-Turquoise Ridge: We're aiming at zero, but we think we can do it, just sync it and midway get approvals to equip it, and also have a lead on the long-lead items. A lot of this is tied to a ventilation upgrade that was commissioned in 2015 that would be pretty successful, in terms of – it just feeds into managing the capital, like Kelvin and Richard have been describing.
Kerry Thomas Smith - Haywood Securities, Inc.: Okay, okay. That's helpful. Thank you. And just on the CapEx in Q1 was $175 million on the sustained side, and the guidance is, I think it was $1.25 billion to $1.35 billion. So should we kind of assume that the remainder of the CapEx kind of gets spent equally over the next three quarters, or might it be weighted to the back half?
Shaun Usmar - Chief Financial Officer & Senior Executive VP: Kerry, it's Shaun. This was a low CapEx Quarter. We've had some deferrals, and with the current forecasting, next quarter is probably looking at being slightly higher. Having said that, the work that Richard and the General Managers and that are doing, one, should improve forecasting but two, it'll also reduce the capital intensity and the quality of the forecasts, I think, could see that change. But I think that...
Kelvin Paul Michael Dushnisky - President & Director: Yes. Just to double up on Shaun's thing, the Best-in-Class process that one outlined in one's brief, with the scrubbing of the capital, is actually seeing some capital taken out of the annual budget, and some is – and it will be a sort of relatively lumpy year, as Shaun outlined, a little bit more in Q2. But what we're finding in engagement with the General Managers and our next optimization study is we're finding the capital plans we're adjusting on the positive side, by which I mean capital intensity is improving as we'd like it to, not going the other way. So what we're finding is – what you will find is our forecasts will change through the year as these processes become more developed.
Kerry Thomas Smith - Haywood Securities, Inc.: Okay. Okay. And Richard, just on your Best-in-Class – or your productivity initiative, this Best-in-Class thing, where do you think generally you are in that process? Do you think you're 50% there in terms of where you would like to be, or are you 75% there? I'm just kind of curious as to where you think you could actually go from where you are today?
Richard J. Williams - Chief Operating Officer: I think we are short of 20%. I would love to say 25%, because it would sync very nicely with the quarter, but actually in terms of the process that we put in place – just recognize that continuous improvement has been part of what the General Managers have been doing over years. We've just obviously removed the layer that existed between General Managers and head office, and we've become much more focused on it now in terms of a delivery process. At the end of last year, quite a bit of work was done and that locked in and benefits were yielded. But as we look forward this year, we've been rolling out, as Matt outlined – he's really leading the way just in terms of sequence, but in terms of actual effect at Cortez and the other General Managers, as our system is rolled out towards them they're getting on the bus as well. So I would say we are short of 20% in terms of where we are right now, and what I am really looking forward to is in the next quarter being able to record in greater fidelity the type of productivity improvements by site that we're really going on. And Michelle Ash, as you know, who's been answering some of the questions over the last couple of calls, is driving that for us. But again, doubling up on a point I made in the brief at the start, this is General Manager-owned business. We are helping to enable it and we're helping to drive it, but all the ideas are coming from them at that level. That's where the talent really is yielding the advantages.
Kerry Thomas Smith - Haywood Securities, Inc.: Okay, okay, that's great. Thanks very much.
Kelvin Paul Michael Dushnisky - President & Director: Thanks, Kerry.
Operator: Your next question comes from the line of Jorge Beristain with Deutsche Bank. Your line is now open.
Jorge M. Beristain - Deutsche Bank Securities, Inc.: Hey, good afternoon guys, and congrats on the results. I just wanted to ask about the guidance, or the change in the – at Lumwana and the Zambian royalty rate. When you've given us your AISC guidance there of between $1.80 to $2.10, is that already inclusive of the expectation that the royalty rates would be cut from 9% to 5% roughly, going forward?
Kelvin Paul Michael Dushnisky - President & Director: Yeah, Jorge, it's Kelvin. It is.
Jorge M. Beristain - Deutsche Bank Securities, Inc.: Perfect. And then my other question was just in terms of M&A, obviously it's been great to see the tailwind of the gold price play out across the industry. But are you guys having as much sense of perhaps internal urgency as you would've had toward pruning your portfolio six months ago? And I'm talking about assets such as KCGM in Australia or Acacia in Africa. Just if you could maybe just update us in terms of what your thinking is, is it going to be the same in kind of a more benevolent gold cycle than it would have been six months ago?
Kelvin Paul Michael Dushnisky - President & Director: Thanks, Jorge. Well, I guess a couple of things. First of all, as we said last year, and I think that we showed it as disciplined sellers, there's no fire sales on any of the assets, even the non-core assets. So obviously, robust interest in everything, as you can expect. But we don't deal – we haven't changed at all our focus. We outlined a $2 billion target at the start of the year. We said that non-core asset sales and potentially partners and JVs would be part of that. And so that hasn't changed. So, no different focus; we're as we were last year. We are going to proceed through the course of the year, and we're confident that we will achieve that number. And we will kind of go from that.
Jorge M. Beristain - Deutsche Bank Securities, Inc.: Okay, and then maybe just one last one. I just noticed you kept your dividend the same sequentially. Other companies out there are starting to raise their dividends a little bit as the gold price recovers. Can you talk as to what your policy would be for your dividend going forward?
Kelvin Paul Michael Dushnisky - President & Director: You know, a board decision on that, Jorge, but I think the same approach is taken. We'll wait, so no solid announcement today, the Board will reevaluate on a quarterly basis. But again, the focus has been on getting a shot at volatility (54:56), we want to do our debt reduction, that's been our priority and will continue to be our priority as we move through the year. So you should expect no changes as far as that goes at this point.
Jorge M. Beristain - Deutsche Bank Securities, Inc.: Okay, thank you.
Kelvin Paul Michael Dushnisky - President & Director: You're welcome.
Operator: Your next question comes from the line of Stephen Walker with RBC Capital. Your line is now open.
Stephen David Walker - RBC Dominion Securities, Inc.: Thank you. Just wanted to follow-up on Kerry's question, Shaun and Richard, if I might, on the capital spending and the rate of capital spending, Is – my understanding is as you go through the gating process or the approval process for sustaining capital and project capital, there's a certain amount of iteration that occurs. How much of the planned capital spending in the first quarter has been sort of approved coming into the quarter, and how much iteration occurs or approval process occurs as the quarter unfolds, as the year unfolds? I guess what I'm trying to understand here is, given the lower capital spend, is it fair to assume that number is low because the planning was low, or because projects got pushed back to the general managers for, you know, sharpen the pencil and prove the return, or no, this project no longer works? Can you talk a little bit about that process as it unfolded in the first quarter and as you expect it to potentially unfold over the course of the year?
Shaun Usmar - Chief Financial Officer & Senior Executive VP: Yes, sure, Stephen. We did a lot of that really through last year. And by that I mean firstly, scrubbing, call it the efficacy and the need for all of the capital. But really in a business that was adjusting to, let's say, a more rigorous process, you know, sending things back and working with the respective projects and sites to ensure that we had something that was robust and really timed appropriately, and that's what's reflected in the guidance. But directly to your question, that's the backdrop. We didn't see a lot of that this year. I'm thinking offhand it's probably something like 50 of these over the course of the year that are going to be going through, and that includes contracts. The team keeps revising it to say is this appropriate, how do we balance discipline with bureaucracy, and we're always trying to strike that balance. But this was really more a function of some deferrals, and less about things which were not suitably considered and were rejected by the IC.
Stephen David Walker - RBC Dominion Securities, Inc.: Great. Thank you very much, Shaun.
Shaun Usmar - Chief Financial Officer & Senior Executive VP: Thanks Stephen.
Operator: Your next question comes from the line of Jeremy Sussman with Clarksons Platou. Your line is now open.
Jeremy Sussman - Clarkson Capital Markets LLC: Yeah, hi. And thanks very much for taking my question. Obviously, you gave details on the systemic cost guidance beyond 2016 in February at the Investor Day. Should we be flowing through kind of similar savings to, say, 2017 and beyond, that we're now seeing in 2016 relative to what you were expecting in 2016 before?
Kelvin Paul Michael Dushnisky - President & Director: Look we haven't changed our guidance for 2017 or 2018 at this point. We'll asses at the end of the year. If there are adjustments to be made, we'll do it then.
Jeremy Sussman - Clarkson Capital Markets LLC: Okay, great. And just a quick follow-up. This is probably for Matt. Matt, thanks for the brief rundown of sort of what you're seeing on the cost side at Cortez. With that said, it does seem like clearly, that's where the biggest reduction in your 2016 all-in sustaining cost guidance is coming out of any of the mines. Can you just maybe give us a bit more detail of say one or two key things that have changed in particular over the past quarter?
Matthew D. Gili - General Manager- Cortez: Yeah, certainly, Jeremy. Okay. So, you're looking at about a $490 per ounce reduction in AISC from Q1 of 2015 to Q1 of 2016. We're of course very pleased with that reduction, and a lot of hard work from the team. About $70 of that $490 reduction is attributable to reduction in spend, some sustaining capital, some gross operating expense, a series of initiatives, mostly focused around reduction of cost in the open pit. The other $420 is just a reflection of increased volumes. If you will reflect back to first quarter of 2015, it was a particularly low-volume quarter for Cortez, with the open pit being in a strip phase. So those two things together add up to the $490.
Jeremy Sussman - Clarkson Capital Markets LLC: Understood. Thanks very much for the call.
Kelvin Paul Michael Dushnisky - President & Director: Thanks, Jeremy.
Operator: And there are no further questions at this time. I will now turn the call back over to the presenters.
Kelvin Paul Michael Dushnisky - President & Director: Thank you, operator. And thank you everybody who joined us on the call today. We're very pleased with our momentum and we look forward to updating you on our progress on our Q2 call. Thank you.
Operator: This concludes today's conference call. You may now disconnect.